Operator: Good day and welcome to the Streamline Health to announce Fourth Quarter 2014 Financial Results April 16, 2015 conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Randy Salisbury, Chief Marketing Officer. Please go ahead.
Randy Salisbury: Thank you for joining us to review the financial results of Streamline Health Solutions for the fourth quarter and fiscal year end of 2014, which ended January 31, 2015. As the conference call operator indicated, my name is Randy Salisbury, Senior Vice President and Chief Marketing Officer here at Streamline Health. I manage all communications, including Investor Relations. Joining me on the call today are David Sides, our President and Chief Executive Officer; and Nick Meeks, our Senior Vice President and Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today's call does not have a full text copy of the release, you can retrieve it from the company's Web site at www.streamlinehealth.net or at numerous financial Web sites. Before we begin with prepared remarks, we submit for the record the following statement. Statements made by the management team of Streamline Health Solutions during the course of this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those reflected in the forward-looking statements contained herein. Please refer to the company's press releases and filings made with the U.S. Securities and Exchange Commission, including our most recent Form 10-K reports, for more information about these risks, uncertainties and assumptions and other factors. Participants on this call are cautioned not to place undue reliance on these forward-looking statements that reflect management’s analysis only as of the date hereof. The company undertakes no obligation to publicly revise these forward-looking statements. On this call, the company will discuss non-GAAP financial measures such as adjusted EBITDA. Please refer to our Web site at streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. Management uses certain non-GAAP measures to evaluate and monitor the ongoing financial performance of our operations. These non-GAAP measures do not include certain items of income and expense that affect operations and other companies may calculate these non-GAAP measures differently. With that said, let me turn the call over to David Sides, President and Chief Executive Officer. David?
David Sides: Thank you, Randy, and good afternoon to all of you participating in today's call. I would like to begin my first call with our investor community today by thanking the Board for the unanimous vote and selecting me as President and CEO, replacing Bob Watson, our former President and CEO. And I thank all of our shareholders for their support thus far. I have made every effort to get out to meet as many of you and our clients as I could. I'm still focusing on leading our company to improve our performance in all areas. I believe it will be worthwhile to center my comments this afternoon on my approach to improving our company's performance and the key strategic objectives I have already put in place. Clearly, we need to perform better and I'm committed to doing just that over the coming quarters. But, first let me take a moment to review our fourth quarter and fiscal year 2014 financial performance. As previously released, we generated revenues of $6.6 million representing a slight increase over the fourth quarter of last year. Recurring revenue constituted 86% of total revenue for the quarter, adjusted EBITDA was a negative $0.8 million significant improvement over the negative $2.2 million from fourth quarter of fiscal year 2013. For the fiscal year 2014, revenues were at $27.6 million down slightly from fiscal year 2013, recurring revenue for the year constitute approximately 88% of total revenue and increase of 9.4% from 2013. Adjusted EBITDA for fiscal year 2014 was negative $1.1 million and new sales bookings for the year were a record $24 million but that our fourth quarter bookings were not up to our expectation, once again some contracts moved from one quarter to the next which happens in our business. I will discuss our Q1 bookings to-date in a few minutes. As I said in today's release, fiscal 2014 was a difficult year for our company and for many other companies in our industry as purchasing slowed down following the most recent phase of meaningful use. Also like most companies in our industry we experienced some revenue attrition. Usually we see revenue attrition that are approximately 46% but in 2014 it was approximately twice that level primarily from the loss of one of our old legacy GE-based clients and from some of our acquired client relationships primarily from the USA acquisition. Clearly, this had a negative effect on our revenue this past year and will affect our top-line in 2015 as well. Let me give you some specifics. Nearly, one-third of the revenue attrition we experienced in fiscal 2014 is from our content management business. Specifically three clients were from the legacy GE-relationship that the [original land vision] [ph] company started way back in the mid-1990s. We’ve stated before the GE strength in the EMR segment has dissipated dramatically over the years and vendors like Epic and Cerner and others have displaced them with improved feature functionality. There are only two remaining GE-based clients using our ECM solution today, East Orange, who is changing its relationship with GE and plans to buy directly from us and [indiscernible] who will move-off of our solution this summer. With these final two changes, the GE-relationship will be completely over and behind us. Another component of the higher than normal revenue attrition approximately 20% is from our patients scheduling business, from clients that notified the Unibased Systems Architecture, the company acquired [indiscernible] fiscal 2014, their intent to terminate before the acquisition. As within [indiscernible] acquisitions we established a meaningful escrow account for situation such as this, and we have put in the client to the escrow account for a substantial amount of money. While these funds will not help recover revenue lost, they will reduce our purchase price of USA and it adds cash to the other financing lines. I believe we need to change our approach in a number of areas. And I'm already well in the process of making changes I believe will generate better financial results [indiscernible] in the form of [sales bookings] [ph] and renewals, cost containment and improved adjusted EBITDA. When I joined the company last September as Executive Vice President and Chief Operating Officer, I did so because I saw an opportunity to help take this company from a small player in the industry to a big one unlike what happened while I was at Cerner. I believe we have the right solutions that deliver meaningful benefits and ROI to healthcare providers throughout North America. When I look at our list of clients, I know this to be true. My near term focus will be on improving our execution to take better advantage of our unique position in the industry. To that end, I have established three strategic objectives for our company this year. Grow sales both inside and outside of our current client base and keep the clients we have; complete our software [links] [ph] among the four solutions of our Looking Glass platform and improve professional services. Our number one objective this year is to ramp up our sales growth primarily in the form of new contract bookings. But this also includes improving client retention. And in fact maintaining the clients we’ve worked so hard to get over the years, which will help us minimize revenue attrition. The market we are competing is huge both in terms of dollars spending and number of potential clients. Recently we [saw] [ph] the potential market for each of our four key Looking Glass solutions suites over the next five years in North America alone to be worth approximately $7.9 billion. In terms of potential clients there are more than 800 large complex healthcare providers with more than 400 beds in the U.S. This is our sweet spot. And we plan to attack this space more aggressively. With such a large market opportunity, we need to expand our go-to-market strategy, include signing more channel partners who can help us get our products to market, we know we can't do this all by ourselves. We just returned from our industry's largest trade show HIMSS, where we received our 12th straight best-in-class award for our scheduling solution where we had numerous meetings with well-known companies in our space to augment their product offerings and we believe we will finalize at least one contract with them in the next quarter or so. Once in place, we need to nurture these channel and strategic partners to help us get more prospects more quickly than we would otherwise reach with our own sales force. This represents major change in our go to market strategy that's one I deployed before and I have seen it work well. We will announce these new alliances or partnerships as they are formalized. In addition, we will invest in more direct selling and have already added two more sales regional Vice Presidents to our company's sales force than we had this time last year. To increase the size of our sales funnel, we hired in-house lead generating sales associates whose primary objective is to arrange introductory meetings for our regional sales leaders throughout the country. I want to [indiscernible] with clients and prospects because I believe our solutions can help providers improve their clinical financial and operational performance. Our second strategic objective which will also support our efforts toward our first objective of growing sales is to complete the links among the four solutions suites of our Looking Glass platform. We believe that our range of solutions that assists healthcare providers throughout the entire patient experience of patient engagement, accounts receivable and audit management is unique and competitively superior. These solutions [indiscernible] our Looking Glass platform been assembled mostly through acquisition over the past four years. By linking these solutions more tightly, improving the user experience, we believe we will be able to demonstrate greater value to existing and potential clients which should also aid in our cross-selling efforts. Combining clinical and financial data together, which gives clients greater insight into their care process and how they can evolve from volume to value is just one example of how better linkage can help our clients operate their businesses more efficiently. Our third strategic objective is to focus on improving our professional services. Looking back at 2014, our ability to help our clients implement the solutions they have purchased from us suffered from the backlog and their corporate IT departments as well as from implementation difficulties that we are in the process of improving. We’ve refocused our implementation methodology to make it easier for our clients to work with us, more specifically by better allowing us to help clients implement our solutions more readily, so that the ROI we can deliver can be realized more quickly. By returning our professional services efforts to a break even level of performance, we can have a meaningful impact on the bottom line as reflected in our adjusted EBITDA. Having spent the first four months of my tenure as EVP and Chief Operating Officer, we have already put numerous programs in place to help us realize this objective by fiscal 2015 year-end. Before turning the call over to Nick Meeks, our Chief Financial Officer, I wanted to review some positive developments that I think are worth mentioning this afternoon. First, our Q1 new sales bookings today look very healthy. About two weeks ago in the quarter we have slightly more than $6 million on the books. Second, we have undertaken some serious cost cutting programs to help us reduce and rebalance our budget by effectively reducing our management overhead allowing us to increase our investment and sales. I will now turn the call over to Nick to review the quarterly and year-end performance in more detail. Nick?
Nick Meeks: Thank you, David. I'm pleased to be talking to everyone this afternoon having filed our financials in a timely fashion. Before I comment on our financial results for the fiscal fourth quarter, I want to take a moment to highlight the progress we have made in our finance organization. One year ago, we were undergoing our first audit with our new auditors having also triggered the requirements that would necessitate Sarbanes-Oxley compliance during that year. Our results for last year were filed more than 8 weeks late with a number of material audit adjustments and 8 material weaknesses identified in our internal controls over financial reporting. And less than one-year since filing our last 10-K, we have implemented successful remediation such as I can report today no material weaknesses in our internal controls over financial reporting and I'm able to report that to you on time. The efforts involved are Herculean and I want to thank my team and the entire organization for the long hours that have gone into getting us to this much improved place. Now, let's turn our attention to fourth quarter 2014 and the fiscal year-end results. As reported earlier today, revenues for the quarter grew approximately 1% over the prior comparable period $6.6 million. This revenue for the full fiscal year to $27.6 million compared to $28.5 million the last fiscal year. The year-over-year decline was attributable to lower perpetual license sales and lower professional services revenues. Each quarter we have provided visibility into our unimplemented quarterly committed recurring revenue as a means to better demonstrate the potential impact on revenue these unimplemented contracts have. In the third quarter of last year, our unimplemented quarterly committed recurring revenue was approximately $1.3 million and had decreased slightly to $1.2 million in the fourth quarter. From a future visibility perspective, we finished the quarter with approximately $72.5 million in revenue backlog representing a 28% increase from the same period one-year ago. In our earnings release and on our Web site at www.streamlinehealth.net, we have included a table reconciling our net loss to the non-GAAP financial measure of adjusted EBITDA. We define adjusted EBITDA as net earnings or loss plus interest and tax expense, depreciation and amortization expense of tangible and intangible assets, stock-based compensation expense and non-recurring expenses such as severance costs. Given the relatively large amount of non-cash charges in certain non-recurring expenses we feel that adjusted EBITDA is a more meaningful measure in understanding our underlying cash-based earnings. Adjusted EBITDA for the fourth quarter was a loss of $694,000 adjusted EBITDA was adversely impacted by a negative contribution from professional services. Significant adjustments for the quarter beyond equity-based compensation expense included $2 million and a non-cash impairment charge related to the discontinued use of the [medi-rating] [ph] and $315,000 in non-cash charges arising from the write-off of deferred financing charges following the move of our credit facility to Wells Fargo. That brings our aggregated adjusted EBITDA for the full fiscal year to a loss of $1 million. Moving now to the balance sheet and our cash position, the ending cash balance for the fourth quarter was up from the end of Q3 to approximately $6.5 million. That concludes my remarks and I will now turn the call back over to David.
David Sides: Thank you, Nick. Turning our attention now to guidance, we mentioned previously that we would like to focus our future revenue projections primarily on our recurring revenue leaving out for now only perpetual license-based revenue that maybe generated during the year. But that said, historically perpetual license revenue has always been part of our total revenue mix before our fiscal year 2015 guidance we will make reference to the contribution we believe will come from a few potential perpetual license deals already in process. Frankly, in the past I feel including perpetual revenue of upwards of 15% in our total revenue guidance has lead to disappointment some of our quarterly results. For fiscal year 2015 perpetual license revenue is projected to constitute between 5% to 7% of our total revenue. Let me walk you through the numbers before I do, I want to let you know that I feel compelled to provide go-forward guidance that is conservative, but more importantly attainable. I want to assure that my management style is to set reasonable expectations then meet or exceed them each quarter. With this in mind, we are projecting that our total revenue for 2015 will be approximately $29 million to $30 million representing modest organic growth of between 5% and 9%. I mentioned earlier revenue attrition has impacted our 2015 guidance and our estimates include upper single-digit percentage attrition during the year. Specifically, we estimate recurring revenue will improve modestly from $24 million last year to $25 million this year primarily due to the aforementioned client attrition. In addition, we project professional services will be approximately $2.5 million to $3 million flat to slightly up from over the $2.6 million we generate in professional services in 2014. And finally, we estimate that we will generate approximately $1.5 million to $2 million in perpetual license revenue for the year. Again, I have taken a conservative approach here one that I believe is realistic and prudent. This makes our revenue we expect to return to profitability and cash generation from operations from fiscal year 2015 as we believe we can deliver approximately $1 million to $1.5 million in adjusted EBITDA and to represent a significant improvement from last year. One last important topic for today's call relates to our pursuit of the veterans administration, local appointment scheduling system, or mass project. Most of you know that we have had our Looking Glass patients scheduling and resource management software solution in Indianapolis, VA Medical Center for years. And we know it has enabled them to improve patient access to care which is what the VA mass project is all about. Getting our veterans access to care in a more organized and expeditious manner. We have done it for years in Indianapolis. We continue to believe that we are the best solution to meet their needs across the country now and in the future. As stated in previous conversation because of this nationwide federal RFB, we have never been able to gauge our chances of earnings this bid, although we have done and are doing along with our prime contractor DSS everything we can to win this business. Tomorrow our team and the team DSS in our bid proposal is meeting face to face with representatives of the VA to better understand why we were not invited to demonstrate our solution. And we have no formal shortlist or when demos of solutions are scheduled to take place. But, we are extremely disappointed to not have the opportunity to show how our system can help our veterans. We will plan our meeting course of action as it relates to how we can reengage with procurement process following tomorrows meeting. I wish we can provide more insight into this matter but for now that's about all we know. As we have not yet met with the VA, we are not in a position to discuss this in any great detail until we met and can determine our best course of action going forward. Before, I turn the call over to the operator to begin our question-and-answer session. I want to thank all the Streamline associates around the country for their hard work and dedication to our clients, our shareholders and each other. I have been around long enough to get to know all of our 130 associates personally and I'm proud to have them on this team. We have great opportunity ahead of us and lots of work to make it a reality. I'm confident that we have the solutions, the client and the talent to make it happen. I will now turn the call over to the operator for a Q&A session. Operator?
Operator: Thank you. [Operator Instructions] We will go to our first question from Charles Rhyee with Cowen & Company.
Charles Rhyee: Yes. Hi. Thanks guys. David, if I could just start with the VA, I might have missed a little bit, did you say that, okay, can you just kind of repeat what you said you were not invited for a demonstration, is that mean – were you notified that you are effectively out? Hello?
David Sides: Charles, yes. That's right. So we were notified that we were not invited to demo, but we don't know who was. So there is no public information out there other than they have sent us a note, an e-mail actually to say you are not going to be invited to demo.
Charles Rhyee: But you have a meeting tomorrow, what's happening tomorrow?
David Sides: Tomorrow they notified our prime DSS that you have a chance – once they notified us, you can meet with them to talk about what happened, what were the reasons and get more details. But basically the letters and invitation to meet essentially if you want to do so which we did and we are meeting tomorrow.
Charles Rhyee: Okay. Did you ever have a sense on who else was bidding on this contract?
David Sides: No. They have not said anything so far as to whose bid, what the process is other than as we said before the next step was to say you get to demonstrate in front of a group of people who haven't seen the system before. And they actually run the system themselves. That's really all the details they have given us.
Charles Rhyee: Okay. And one last question, sorry, and then just to round it out here, in your Indianapolis hospital, do you know if they have been contacted prior by the procurement process? Do you know if they have been questioned about it in the past?
David Sides: We don't know.
Charles Rhyee: Okay. All right. Just one last question, for me on the guidance here, obviously going more conservative, earlier you talked about your channel partner discussions at HIMSS a potential for channel partner discussion at HIMSS just to be clear though, none of that is in the guidance as it stands today?
David Sides: That's true. And so a little more color we were at HIMSS this week, six people invited us to meet with them. We didn't actually kind of solicit but people requested meetings with us to talk about how our solution could fit into their solution set and how we could help expand their market share. And we are open to that possibility. I think it for us helps a lot to be able to expand the sales force out in the country that selling our solutions whether it’s paid for by us or paid for by a third party. So we see that as a good interest from the market. Let's not make --
Charles Rhyee: Okay. All right. I will stop there and get back. And thank you.
Operator: We go next to Matt Hewitt with Craig-Hallum Capital.
Matt Hewitt: Good afternoon, gentlemen. Couple of questions for me. First, could you provide a little bit more color on the customer attrition regarding USA? I think I heard you say during the prepared remarks that those were customers that at the time of the acquisition announced they were leaving. Did you lose some after you completed the acquisition - was there some additional attrition even after in addition to those initial customers?
David Sides: Matt. It's David. Yes. So some of the customers weren't predisclosed, so we will have an escrow claims for those. And some terminated immediately after. When you do the modeling, you kind of know somewhat that as soon as you buy a company and you make those changes people may leave thereafter. And so that attrition has been maybe more of what we have expected. But the ones that weren't predisclosed certainly were not ones we expected.
Matt Hewitt: Okay. And then, I guess following up on the prior question regarding the partnerships, could you provide a little bit of color on where you are seeing opportunities, I know it's probably too early to you to divulge names. But are there specific markets or specific areas within maybe its not even within acute care, but are there areas within the market that you could see a true benefit from using a channel partner, for example, physicians market or a long-term care, is that kind of where you would see these partnership opportunities or is it to augment into the same market?
David Sides: I think it's into some new markets. So the requests have been varied not for the same solution set either. But depending on where someone is, I would highlight these other companies have the ability to reach much large or smaller in the market than we do. We usually look at 400 beds now. Some of them look at smaller. There have been changes recently in the competitive landscape where some of our competitors have moved into – for example a vendor neutral archive which competes with some other people that were previously their channel partners. And we are not going to take our ECM solution in that direction; we are going to stay purely on the medical record side. That probably opened up two opportunities on its own with people who said we are going to make a shift in our strategy and we would like you to be part of it. The other pieces of the request have been from also large people kind of similar to the Optum piece. I think the Optum contract that we did said to the market that we are actually open to do partnerships and we are open to them in kind of a large way even in places where it may seem like we are co - coopetition. So they have been varied, but many of them actually come to us with developed pipeline that they want to address and with their consolidation in the industry they have difficulty finding someone who would actually complement their pipeline and so we have been fortunate enough to have the solutions that they are looking for. Just part of our overall strategy to be everything other than the EMR. So we are encouraged and I think we will get one of those contracts done here in the next 90 days and move forward from there.
Matt Hewitt: Okay, great. Maybe one more from me and then I will jump back in the queue. I just want to understand the guidance a little bit better, so $29 million to $30 million but that is including $1.5 million to $2 million in perpetual licenses if I have heard that correct, and then professional services of $2.5 million to $3 million, so those bottom two – those would be the non-recurring portion, did I hear that correctly?
David Sides: Yes. You did.
Matt Hewitt: Okay.
David Sides: And the perpetual piece, we are conservative with it and we have that amount covered in current deals that we have in the pipeline or forecast. And the reason we are being conservative there as well is you never know exactly how the revenue recognition will go. So the perpetual license – revenue recognition hurdle is a little bit more stringent and so we want to be sure we have enough coverage to get to that number.
Matt Hewitt: Okay, great. Thank you.
David Sides: Thanks.
Operator: We will go now next to Bruce Jackson with Lake Street Capital Markets.
Bruce Jackson: Hi. Thanks for taking my question. Just to drill down on the guidance a little bit with the $25 million what's the breakout between SaaS and the maintenance and support?
Nick Meeks: It's about 70% maintenance Bruce. And then probably 20% SaaS and 10% term-license.
Bruce Jackson: Okay. And then so – and you’ve laid out the strategy for increasing sales and helping out professional services business. Can you give us maybe just a little bit more detail on the professional services business in particular where are some of the actions that you are taking to get that business generating more revenue?
David Sides: So one shift we made is to move some of our new contract toward a time and material basis, but if a project goes long or it doesn't meet original timelines that kind of the scope control is built into it. Some of our older contracts have fixed fees into those and so we are working some times for a declining amount of margin. We have worked a lot on how do we install the application so that it's quickly done as possible and standardized, so we can – we will have some examples of some of those recently. But, we can get a client from signature to live within six months. And so that's taking a lot of standardization. We have trained our project managers on the PPM methodology. So we are moving that kind of industry standards and we are installing all of our solutions the exact same way through the same methodology. Before we had some variability between solutions depending on how the acquired company did things before and knows that have been kind of standardized out and we do things in a consistent manner.
Bruce Jackson: Okay. Last question on the implementation, one of the issues in 2014 was some of the clients, on their side in terms of the resourcing didn't have the time and attention to standard on implementation because they are working over things. Have you noticed any shift in their ability to work with you to implement some of the contracts in 2015 now that we are approaching the deadline for ICD-10. And there is some increased interest in the healthcare analytics side of it?
David Sides: On your question about implementation, I will take that first and then go to the CA interest. The implementation side, I think they have a little more breathing room, but more importantly we are shifting our strategy to make our applications not as reliant on their time to get installed. So in other words, if we went to a client and said okay, you have to do the build of the system that's going to take you 300 hours. You are always going to get de-prioritized to someone which has a different approach like one we are taking now. We will do the build for you, you need to review the build, and it will take 40 hours. Oh, okay, with 40 hrs I can do that, 300 sounds like a big project, it's hard to prioritize that. So we are trying to take the burden from our clients for the work to be done and have it on ourselves, iterate and get better at it. And we paid time and materials for that as well. So we can move those projects more quickly. On the CA side, on the clinical analytics side, we are seeing a lot of interest in the marketplace for that. And we are encouraged with some of the changes we are making there in the product to add an additional capabilities like HTML file, dashboards where it works on mobility or on the Web. In addition to the very robust cohort builder and steady analytics we have that help clients to find the root cause of where changes are occurring. So the early view of clinical analytics is, is improving and we think there is a good marketplace there for us.
Bruce Jackson: Okay, great. Thanks for taking my questions.
David Sides: Thanks Bruce.
Operator: [Operator Instructions] We will go next to Frank Sparacino with First Analysis.
Frank Sparacino: Hi. Can you hear me, okay?
David Sides: Yes. We can hear you.
Frank Sparacino: So two questions, first, Nick for you, just in terms of the commentary around cost cutting, can you give me a sense as to what we should expect quarterly total expenses to be at in Q1 and going forward, I guess?
Nick Meeks: Yes. So I guess relatively Q4 break, if you are looking for the bridge. We thought out about $3 million of expense and added $1 million back. So we should be two net down, the growth is going to be on the sales and marketing side. That's an annual number sorry. And the contraction will be in combination of G&A and R&D probably I would say 80:20 respectively.
Frank Sparacino: Okay. And then second, David, just in terms of the Q1 commentary around booking, and I guess maybe just also looking at the pipeline, can you give us a sense us to where you have seen strength in Q1 from a bookings perspective and also when you look at the pipeline, where do you think it comes from?
David Sides: It comes from a couple of places, one is the coding solution set. We are seeing some strength there between now and October, I think we will see clients who haven't prepared yet, still get projects and then our ability to execute in a 3 to 4 month timeline to help us there. I think that will resurge after October when they send their data technically to the government. But, then they start to have difficulty and denials and other things because they are not coded properly. When those come back, the coders will be overwhelmed and there will be a lot of demand for our clinical documentation improvement solution. So I think that is one place where it will be kind of by modal through the year. And we are also seeing demand for our scheduling and our clinical analytics solution and we see that continuing and to the next quarter. So we have some reasonable opportunities with some large health systems that we may sign and announce next few weeks. But then give us the entrée to get to a lot large sets of hospitals that we are pretty excited about. And some of those are in new markets, so not only are we thinking about new ways to market with channel partners. We are also thinking seriously and some of them are driving this, using this discussion as well not new markets so not just hospitals but long-term care even small critical access hospitals, mental health providers could they all have the need for the same solution sets and we see that expansion of market as a reasonable and especially as we can – we think we can have the level of profitability from those markets.
Frank Sparacino: It's great. Thank you.
Operator: Our next question comes from Charles Rhyee with Cowen & Company.
Charles Rhyee: Yes. Thanks for taking the follow-up question. David, as we think about business as you envision in going forward here obviously putting a lot of changes in over the last six plus months now, imagine it will still take a little while further, what do you think of as the organic growth rate if you have a well functioning sales pipeline and sales function going forward here. Recognizing obviously with the guidance here impacted by bookings last year, but what should that sort of – what sort of bookings, growth rate and translating to revenue growth rate, do you think is a realistic target not – none of this year but as we think about some where down the road.
David Sides: I think realistic targets in the 15% range plus or minus couple of percent, let's say 14% to 16%, we – it's our internal target is right around 16% of annual recurring revenue growth that we want to see from our sales team this year, so that next year that's what we see go through the revenue line and will probably around that target. And therefore, but that's what we are targeting this year, it's just – this year as the headwinds from last year in it. But next year, we want to see 15% revenue growth.
Charles Rhyee: And is it – but if you allow to – the way your contract is set-up though, is there multi-year, don't you have to drive more bookings growth to get 15% on the revenue line since the first year of the contract is not the full value maybe I will understand that a little better maybe I'm not getting it right.
David Sides: No. You are. I mean there is an advantage to signing early, right? So signing in Q1 and Q2 makes it different because when you are entering 2016 financial year with the revenue stream turned on. And the other pieces we are really working on in increasing the speed of install. So we are going to get the speed of install down to 90 days, so that even Q3 this year what we sell, we could have coming on in a meaningful way if not in Q4 this year, in Q1 of next year. It's still feeds the 2016 growth pattern.
Charles Rhyee: And what is your timetable implement right now?
David Sides: Varies by solutions but we have driven clinical analytics down for example one that we said last year we would work on prioritizing it. We have spent a lot of time on getting it installable as well. And we are able to get it installed it in about 95 days. So that was pretty useful.
Charles Rhyee: Okay. Last question for me, okay, obviously, you talked a little bit earlier about some interesting channel partners’ discussions and hopefully we can hear something soon. I think earlier when you talked about the bookings being basically flat that's some deal slipped. So when we think about the first quarter bookings maybe you did address what your bookings look like, can you remind what you – where we are at here for the first quarter?
David Sides: Right now we are at $6 million and then we have couple deals we are still working on for the – in the quarter. So we will give you the update on where we are with the whole quarter on the next call. But it would be at least $6 million because that's what we have already signed.
Charles Rhyee: Okay. And I'm sorry, and the last question for me, maybe you can – if we are looking at $1 million to $1.5 million adjusted EBITDA expected for the year, can you give us some solution except for operating cash flow, should we expect a cash burn in 2016, or should we expecting generating cash in 2016? Thanks.
Nick Meeks: All right. I would expect to generate a nominal amount of cash Charles, certainly not in great excess to that EBITDA number. But is shouldn't be materially less than that EBITDA number.
Charles Rhyee: Okay. That's helpful. Thanks guys.
David Sides: Yes, thanks.
Operator: We go next to Matt Hewitt with Craig-Hallum Capital Group.
Matt Hewitt: Just a couple of follow ups from me. First, your predecessor had really focused a lot of attention on the cross-selling opportunities within the installed base, given the acquisitions last couple of years and they are not being a lot of custom or overlap, it seem like real fertile ground. Is that still a big priority or do you see greenfield opportunities as the quicker easier option as you look at it.
Nick Meeks: So Matt, both are priorities. I think the cross-sell always has the advantage of. There is an existing contract and you can put in a minimum on existing contract, so you can get speed to contract. So it has kind of near term value and focus to us and we are focused on that. So we have taken our account executives and made them acquiring sales people now. And we have also hires a sales operation leader who is fantastic and helping us work through the process of our funnel to be able to get things through more quickly and you will see from us a lot more transactions. We are doing a lot more transactions. But even if they are small and they are $10,000 or $15,000, we are doing a lot of transactions. We are working on how do we get our funnels to go faster and with the [lead-gen] [ph], how do we throw more water in the top. Even if there is rocks in our funnel thrown enough water and you overrun the rocks at some point, and the water will come out. So we are really pursuing both strategies, but especially the cross-sell is still very valid, which is our second strategic priority is to say we got to get this platform together. So we are technically together. So I was talking to someone the other day about – and we have this data falling into ECM, our enterprise content management, on the other side, you want to start running reports against that from our business analytics that should be seamless. And you don't have to do a different interface or different work or whatever. Another way to speed our implementation timelines and make the cross-sell more palatable for clients because the work they have done in the past is just turn another module. You will hear an output from us on the progress we are making there specifically we are putting in a message bus amongst all of our solution as the first step. So if you send us data, we can send it to all of our solution sets, you don't have to send it twice. So those are some of things that we are trying to put underpinnings for – this is how you get a good cross-sell strategy going make it easy to sell, make it easy to consume from a client perspective.
Matt Hewitt: Okay. Thank you for that. And then I guess one last one, you had mentioned a couple of times that there is going to be some – the ability to go back and tap the escrow account. Any idea of what the magnitude of that recapture will be?
David Sides: We will see. So it depends as always have – how do those discussions go and complete. So we started the discussions, the magnitude is pretty good but of course, they will go straight toward -- prepare for debt it won't come on the cash line. But, it will still count. So those discussions are on going and substantial.
Matt Hewitt: I mean is it a couple of a million that was up like $2.3 million your net debt, so is it roughly that amount is that kind of what we should be thinking about. I know they are not tied to each other but could you essentially back that back-off here versus second quarter?
David Sides: It's less than a million. So to get to specific that would be somewhere between $700,000 and $900,000 probably.
Matt Hewitt: Okay, great. Thank you.
Operator: We will go next to Charles Rhyee with Cowen & Company.
Charles Rhyee: Yes. Thanks guys. Sorry, one last question for me, what is the CapEx expected to be for this year Nick and if we are going to generate let's say roughly cash, sorry, operating cash flow in line with EBITDA, I mean is there net cash could it be – are we still going to bun some cash or we will be -- till be sort of flat to the cash balance we have at the end of this year. Thanks.
Nick Meeks: No. I think flat is a very conservative estimate. So the term loan is amortizing to the tune of $0.5 million through the fiscal year. I think CapEx will be nominal to be honest. We did a lot of datacenter work in 2014. I don't see a lot of equipment purchases and having moved to an agile development framework we are not anticipating a lot of software capitalization.
Charles Rhyee: Okay, great. Thanks a lot.
Operator: At this time, we have no more questions in queue. So I will turn the call back to Randy Salisbury for any additional or closing remarks.
Randy Salisbury: Well, thank you again for your interest and support of Streamline Health. If you have any additional questions or need more information please don't hesitate to contact me directly at randy.salisbury@streamlinehealth.net. We look forward to speaking with you all again in early June, when we will provide our first quarter performance call. Thank you and good day.
Operator: That does conclude today's conference. We thank you for your participation.